Operator: Good day, ladies and gentlemen, and welcome to the Orion Energy's Second Quarter Fiscal 2018 Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to introduce your host for today's conference, Mr. David Collins. You may begin, sir.
David Collins: Good morning everyone, and thank you for joining Orion Energy Systems' second quarter conference call. Participating today are Orion's CEO, Mike Altschaefl; and CEO, Bill Hull. Mike will open today's call to discuss Orion's strategy, goals, and recent progress on driving revenue while managing margins and reducing overhead. Bill will then provide some highlights on Orion's Q2 results and the company's financial position. And then we will open the call to investor questions. An archived replay of this call will be available later today in the Investor Relations section of Orion's corporate Web site. This call is taking place on Thursday, November 2, 2017. Remarks that follow, including answers to questions, include statements that the company believes to be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally will include words such as believe, anticipate, expect, or words of similar import. Likewise, statements that describe future plans, objectives, or goals are also forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different than anticipated. Such risks include, among others, matters that the company has described in its press release issued this afternoon and in its filings with the Securities and Exchange Commission. Except as described in these filings, the company disclaims any obligation to update forward-looking statements. With that, I'll now turn the call over to Mike.
Mike Altschaefl: Thanks, David. Good morning, and thank you for joining us in today's call. Orion's second quarter revenue of $15.4 million represented a 22.2% sequential improvement over first quarter revenue of $12.6 million. This was below both our prior expectations and our strong performance in last year's second quarter. We did see some weather-related impact on our business in the second quarter as approximately $1.1 million in projects were delayed in Texas and Florida due to storm-related events. But we believe these projects will be completed in fiscal 2018. Nevertheless, there are several positive trends in the business I will review today relating to revenue, progress on gross margin, and operating cost reduction efforts which demonstrate progress toward our goal of achieving breakeven EBITDA before non-recurring items by the fourth quarter of fiscal 2018. We continue to see many potential customers reengage in their review of LED lighting opportunities. The performance and value proposition of our product lines are being very well received by both our national accounts and our agent-driven distribution channel. We remain excited and optimistic regarding Orion's business performance for the balance of fiscal 2018. We are experiencing increasing requests for proposals as well as being awarded business from our large national accounts. In August of 2017, we disclosed that we expected approximately $10 million of business in fiscal 2018, and approximately $10 million in fiscal 2019 for two of our long-standing automotive industry customers. Our first six months of fiscal 2018 included $5.5 million in revenue from these two customers who are upgrading fluorescent systems to our more energy-efficient LED lighting solutions. We now expect at least $13 million in revenue from these two customers in fiscal 2018, which implies at least $7.5 million of revenue in the second half of fiscal 2018, and we have good visibility on achieving at least $10 million in revenue from these customers in fiscal 2019. Our national account sales effort is focusing on large potential customers who have facilities with long hours of operation. In these venues, the energy efficiency and quality of LED lighting makes the greatest financial and environmental impact. Hospitals, healthcare, industrial manufacturing, distribution, and retail are just some examples of where we are focusing. These type of venues are also providing internet of things of IoT opportunities where they are looking to implement automated functions that create added value and ROI for the customer. A significant part of our longer-term growth strategy is developing our agent-driven distribution model. At the end of the second quarter, we had approximately 50 agencies with about 700 sales agent representatives providing coverage of substantially all of North America. While we are seeing steady progress in this effort, it is taking longer than we had planned for new agencies to ramp revenue generation with Orion's solutions. At the same time, we are becoming better versed in the opportunities and challenges in building out this sales channel through a variety of new strategies and products designed to support the needs of our agents, we believe we are positioning Orion to accelerate its future penetration of a much broader base of sales opportunities for both retrofit and new construction projects across North America. As part of our investment in developing this sales channel, Kevin Grayson joined Orion in August of 2017 as Senior Vice President for Channel Sales. Kevin brings broad experience and understanding of the agent-driven sales model, and we are already seeing benefits from his insights and leadership. Kevin and his team are improving our branding, marketing, project management, and sales efforts in support of our existing agent relationships. We are also working to expand the reach and effectiveness of this channel, while also optimizing our agent partners with some selected additions and replacements. The agent channel contributed 44% of our second quarter product sales, reflecting solid progress sine we embarked on this strategy about two years ago. On the product development front, long a key strength of Orion, we recently launched a number of products centered around three main objectives. One, increasing our competitive product footprint with agents and entry-level focused buyers; two, leveraging existing platforms and expanding options to increase our market opportunity; and three, leveraging our experience in controls and IoT solution adaptability through new modular plug and play solutions. During the second quarter, we introduced our new Patriot Slimline high and low bay fixture series for use in commercial, industrial, and retail facilities. The design and development of the lightweight modular design of the Patriot Slimline was driven by the goal of providing end-users with an Orion solution [technical difficulty] energy savings at a competitive cost. To achieve this goal, we developed a streamlined but very high-quality solution with many of the advanced features of our higher priced higher performing lines. However, to differentiate our solution we made the Patriot line easily upgradeable by adding different sensors, engines, or other modules in a plug and play fashion. This technology and approach allows the customer to deploy sensor technology exactly where and when they want in their facility. Further, the customer is able to meet a strict budget with a solid system, and industry-leading components, while also providing an easy to implement path for future upgrades, letting the lighting solution grow with the needs and the budget of the customer. At the end of the day, it's this type of smart design combined with high quality components, excellent service, U.S. manufacturing, and rapid turnaround on order shipments that separates Orion from the competition. Our core value proposition remains unchanged. It is centered around four pillars of commitment that differentiate Orion in the market. One, industry-leading product performance, energy efficiency and thought leadership which leads to delivering more rapid ROI and future proofing lighting options. Two, genuine high-quality, high-touch customer service, three, flexibility and nimbleness in responding to customers' needs including specialty design, development, prototyping, and production, which larger competitors cannot match, and four, rapid response with local-to-local production operations delivering the quality and reliability our customers expect typically in 10 days or less. As we mentioned on our last call, our market product strategy has not changed. We are renewing our focus on execution through improvements to our agent-driven distribution model, driving our national accounts business, and actively seeking ways to enhance our gross profit margin, and to reduce our overall cost structure. Our cost reduction efforts are largely complete as of the close of the second quarter. The effort was broad-based and is starting to deliver benefits with approximately $900,000 in cost reductions realized in our second quarter versus our first quarter excluding one-time items. And we expect the full benefit of our cost initiatives by the fourth quarter of the current fiscal year. Importantly, we had initially estimated annual operating expense reductions to be $3.5 million to $4 million. Based on our progress so far, we now estimate these annual savings to be $4 million to $4.5 million. All in all, we've made significant progress on the cost side. Turning to our fiscal 2018 outlook, based on our performance to date and the limited visibility we have on the balance of the year, we have revised our fiscal 2018 revenue goal to be flat with fiscal 2017 revenues of $70.2 million, as compared to our prior goal of 10% to 15% growth. The reduction of revenue goal reflects the slower-than-expected pace of revenue in the first half of fiscal 2018, the somewhat slower than anticipated pace of engagement in our agent-driven distribution model balanced with the solid momentum we are achieving with national accounts. We continue to believe Orion will be able to achieve its goals of breakeven earnings before interest, taxes, depreciation, and amortization EBITDA before non-recurring items, and the achievement of the 30% gross margin both by our fiscal 2018 fourth quarter. In summary, despite a few challenges, we are achieving forward progress in the business on several fronts. We are seeing in the market and in our business, we believe Orion is very well structured to leverage our position as a customer-focused high-quality provider of innovative, U.S.-made LED lighting solutions for commercial and industrial buildings. Based on the very clear illumination, cost management, environmental benefits of our state-of-the-art LED lighting solutions, we believe our product line and value proposition support the achievement of our growth goals. With that, I will turn the call over to Bill to provide more detail on our second quarter results. Bill?
Bill Hull: Thanks, Mike. As you should have access to today's release, I will focus on providing some additional metrics and perspective on our financial performance and financial strength. Our Q2 revenue rose 22% sequentially to $15.4 million over Q1 revenue of $12.6 million, but was $3.2 million lower than Q2 of fiscal 2017. Florescent sales were $1.3 million in Q2 versus $3.3 million in the year-ago period. As Orion focuses on LED solutions while continuing to provide florescent products based solely on customer requests. LED product revenue declined 10% to $12.7 million, versus LED product revenue of $14.1 million last year. But it increased as a percentage of total product sales to 91% in this second quarter, versus 81% in the year-ago period, continuing an upward trend as a percent of sales. Orion achieved solid raw gross margin profits across the majority of our product lines as we continued to focus on cost controls and sourcing efforts to reduce our cost of goods sold. These margins were hampered however by lower sales and production volume, and the impact of cost absorption on our fixed manufacturing overhead. As a result, Orion's Q2 gross margin was 23.5% versus 33.4% in the second quarter a year ago. However, our second quarter gross margin did reflect a sequential improvement over our first quarter gross margin of 21.6%. Total operating expenses excluding one-time items decreased by approximately $900,000 to $6.3 million in Q2, compared to $7.2 million in Q2 of fiscal 2017. Our second quarter operating expenses included approximately $800,000 in nonrecurring costs, including $100,000 related to our cost reduction initiatives, and a non-cash $700,000 intangible asset impairment related to the Harris trade name. General and administrative expenses decreased to $3.2 million in the second quarter, compared to $3.6 million in the second quarter of fiscal 2017. We have recognized $100,000 and $2 million of total restructuring expenses during the three and six months ended September 30, 2017 respectively. Importantly, the second quarter reflected a solid performance from efforts to optimize Orion's working capital position. Orion generated $1.1 million of positive cash from operating activities in the second quarter fiscal 2018. And that was driven principally by a $3 million reduction in inventories during the second quarter. We paid down approximately $800,000 of debt in the second quarter, bringing us to a total of $3.5 million in debt reduction to date in fiscal 2018. At the close of the second quarter, Orion had total long-term debt of $3.2 million, including $3.1 million under our revolving credit facility, compared to total long-term debt of $6.8 million at year-end fiscal 2017, including $6.6 million under our revolving credit facility. We ended the quarter with $8.7 million in cash, up from $8.5 million at the close of the first quarter. Our working capital position, including our cash combined with potential borrowing under our revolving credit facility, should provide Orion with sufficient financial resources to execute our business plan, and progress the business to EBITDA breakeven in the fourth quarter of this fiscal year. Again, as Mike mentioned, we expect the full benefit of our cost reduction efforts to be reflected fully beginning in our fiscal fourth quarter. And our current estimate for total annual savings has increased to $4.5 million, up from $3.5 million to $4 million estimated at the outset of the effort. And with that, operator, let's open the call for questions. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from Craig Irwin with ROTH Capital Partners. You may proceed.
Craig Irwin: Good morning, Mike and Bill. Congratulations on this quarter. Very clearly getting things operationally aligned.
Mike Altschaefl: Thank you.
Craig Irwin: So, I wanted to ask first about your restructuring. You upped the targets there. I think you said in the release, $900,000 in the quarter achieved already. So we've surpassed the bottom end of the range for your original expectations already, and there's more to go. Can you talk a little bit about what's going better than expected, and what allowed you to bump the range up from $3.5 million to $4 million, to $4 million to $4.5 million?
Mike Altschaefl: Yes, thanks for your comments. Well, first of all, as you said, we initially had estimated $3.5 million to $4 million, which we did very soon after the management change and working with the management team to put together the goals what we possibly could do. And as the couple of months moved forward and we looked at other opportunities and executed on those steps, we just found a couple of additional things that we felt that we could do as a team. So what I want to comment on is that feel that substantially all of those cost initiatives are implemented as of the end of question number two. There may be some amounts yet in quarter number three, but we would expect the full run rate of those reductions to be in effect for quarter number four. And the $900,000 that you referred to, that was the change in operating costs absent one-time costs between quarter number one and quarter number two.
Bill Hull: Just to add a little bit to what Mike has said. Specifically, if we take a look at some of the back office type functions, we've been able to absorb some costs across the organization, and not replace certain headcount that's left. And I think we've been a little bit more successful in some of the areas. And while we continue to be focused on making sure that we have robust sales effort going on.
Craig Irwin: Okay, excellent. Thank you for that. So then the other thing that you upped as far as expectations in the quarter, was the outlook for revenue from your automotive customers, 30 million, before you were saying 10, can you maybe update us on the scope with these two different customers? Are we still looking at something like seven facilities which is greater fixture participation in the facilities? Or, are they adding new facilities to the refurbishment program?
Mike Altschaefl: Sure. Couple of comments; first, we are certainly pleased that these numbers have continued to grow. The primary reason is the addition of facilities with both of these customers, particularly with one of them and others with some expansion within the facility but also some additional opportunities. The growth -- the fact that what we had actually recorded as revenue during the first six months gave us the confidence and we also saw going forward. I also should point out that with these two customers, we don't usually get one purchase order or one contract for the entire project. As things evolve, they add facilities provide purchase orders or contracts for specific facilities. And that's why these things will grow as those companies through and continue to roll out their plan throughout their facilities. And secondly, we also wanted to reaffirm that we had earlier commented that 10 million was likely in fiscal 2019 from just these two automotive customers. And we feel even more confidence with respect to that than we did at our prior call.
Craig Irwin: Okay, great. Thank you for that. So I also wanted to ask for a little bit more color on your agencies. The update there. So this is the first quarter where I have seen very clear growth sequentially; up more than 10% sequentially. It's nice progress given the headwinds in the market. Can you maybe update us on what's driving it specifically at these agencies? Is this now the fact that you had more on for a longer period of time? And last quarter, you showed some specific metrics about the updated number, and the numbers that have been with you for more than a year, if you could share those with us again, please?
Mike Altschaefl: Sure. I would say it's a combination of things on the agency side of things. And number one, just having more time with these agents as we commented back in August, we have a fairly young -- checking here [ph] with a number of these agencies. And it takes awhile for us to work with them to fully provide guidance and education on our products to help them in the sales function. And also as you take on to agencies, they often sometimes we are replacing another supplier for them and it takes some time for them to kind of get the new channel going and the new pipeline going with our product. So one, I would say as we continue to see these agencies age out, if you will, we expect them to ramp up business as we go forward. Secondly, we have specifically targeted some of new product development for that more entry level buyer out there which is some of that business coming from through from an agent standpoint. And so the product that we have developed over the last six months has been focused in that year as the responses what we are hearing from those agencies. And third, I would say that as we added additional resources in this area, we commented that we added a very senior executive to head up our channel sales area which means for us spending this time with those agencies as well as with the regional sales managers that work with them in that area. We've also allowed us to take other people who were spending some time in that area and spend it back on our national accounts. So the sequential growth between quarters is really a combination of getting some traction on the agency side, but it's also the robust activity that we have been seeing on our national account business also.
Operator: And our next question comes from Eric Stine with Craig Hallum. You may proceed.
Unidentified Analyst: Hi, Bill. Hi, Mike. It's Erin [indiscernible] on for Eric Stein. Thanks for taking the questions.
Mike Altschaefl: Yes, good morning.
Bill Hull: Good morning.
Unidentified Analyst: Maybe first on the Patriot line, you kind of talked about it a little bit on the entry level side of things. But how has the response been relative to your expectations when you launched the product? And, outside of entry level, I mean are there any other areas of the market that this product may open up for you?
Mike Altschaefl: Yes, great question. Thank you. First of all, we are seeing the response from the agencies that we have introduced this to be very positive. They like it for a variety of reasons. You feel it has the right amount of quality built into the product. And it's a piece that fits into their market very, very well. And we also engineered it so that while it's still had high quality, we can introduce it at a price point which was under $100 for this fixture that we thought would capture a lot of interest in the marketplace. We supported that by some marketing activities at the distribution level to help the agencies drive some product through distributors who make decisions of what to supply on a day-to-day basis. But at the same time, it's a fixture that is not a cheap fixture. It has a very high quality components to it. Has a great look to it. It's light weight. It's easy to install. So it's our ability to take some of our high end features and in a smart way engineer those into a fixture that might be at a little different price point to expand our market a little bit. We think this fixture is going to have some great options to it in terms of either other sizes related to it or other technologies that we incorporate into it. So we are very optimistic of how this will roll out. And I think we'll have a much better feel at our next quarterly call as to how it is ramping up throughout the sales channel, but early reports have been very positive for us related to it.
Unidentified Analyst: Good. Good, thanks for the color on that. And then maybe on gross margins, can you just kind of give us an update on the outlook? I know you talked about 30% at the end of the fiscal year here. But, any other update on further -- looking out further with these cost cutting initiatives and maybe the launch of this new product?
Mike Altschaefl: Well, I will start on that. We continue to feel confident that we can achieve 30% gross margins by quarter four. And that's a combination of looking at the likely sales levels that we are forecasting for that period of time. Part of the drain or drag on margins in quarter one and quarter two has been the fact that one of our -- we believe one of our strategic advantages is that we have a U.S. based manufacturing facility and that caries with it certain direct fix cost related to it. And we know that as our revenues get up into the areas that we expect to hit in quarter three and quarter four that we will have much better absorption of those overhead cost. And so, we will have a more significant impact from a margin standpoint. And we kind of talked about our raw margins, which is sort of our standard cost margins. We are very -- we feel they are strong. But we are getting hampered by just the volume that we are pushing through our manufacturing facilities. So we feel good about 30% for quarter number 4. And as we can ramp revenues higher on a quarterly basis, we should see improvements from there.
Bill Hull: Yes, would agree that when you take a look at the margins and look at the raw margins, we are in pretty good shape. We are very comfortable with what we are saying there. But at this point of production, I mean you take the absorption out of it and then we are continuing to clean up some inventories, so that is a small impact too. But, we are very comfortable with what we said about the 30% margins.
Unidentified Analyst: All right. Thanks for the color. And then maybe last on free cash flow. Good to see the positive cash flow there in the quarter. You mentioned a little bit of the working capital stuff, is this something you think can continue from here given kind of the ramp we expect in the back half for revenues and these restructuring efforts that you are seeing? Thanks.
Mike Altschaefl: Yes, a couple of different comments related to that. First, we certainly have been focused very heavily on cash management and working capital management. We obviously burnt quite a bit of cash in quarter number one. And we wanted to make sure that we stopped that flow and we did. So having our cash balance higher at the end of this quarter than it was at the end of the first quarter having our debt level lower, having our inventory levels lower, and generating 1.1 million of operating cash flow in the quarter was a good advance for us. There are still opportunities on working capital. And I'll let Bill comment a little bit further on other activities we are able to do.
Bill Hull: Yes, we are very pleased with how our operating people have been able to really focus on meaning out the business both from a cost side and working capital side. And all those components of working capital, we have - and some of them we surpassed where we thought we could do. So we continue to push. We think we have more opportunities to just continue to put us in a great position. As the business ramps, we are going to be more cash flow generative and be able to bring numbers to the bottom lime. So [indiscernible] where we have gone and where we have come from and we think there is more opportunity.
Operator: And our next question comes from Amit Dayal with H.C. Wainwright. You may proceed, sir.
Amit Dayal: Thank you. Good morning, Mike, Bill.
Mike Altschaefl: Good morning, Amit.
Bill Hull: Good morning, Amit.
Amit Dayal: Hey, just going back to the outlook side of things. This revision, is it primarily due to sort of the agencies maybe not coming through in line with what you might have expected going into the year versus softness in the market you are seeing?
Mike Altschaefl: Well, I would say a couple of things. It's great question. First of all, we said a couple of times that the ramp up of the agent model is taking a little longer than we originally anticipated. Perhaps we were overly optimistic about how long it takes to get people up to speed, introduce them to our product, clear out the pipeline and replace with our product. But we are seeing nice momentum in that area. We are confident it's the right strategy we believe to get a much larger access to the marketplace across North America. We believe we have to operate through the agent driven distribution model. We have talked before it opens up what we think somewhere around -- and we are maybe going after 13% of the market going direct. And now, we are up to three quarters of the market by having the agencies also involved with this as a company. Secondly, Amit, I think we -- last quarter we decided it's always tough visibility in our industry of what was looking out forward from us. And we had some big opportunities and some of those things hit and some get delayed. You get pluses and minuses. We just didn't think it was appropriate last quarter to change our expectations. Now that we have the two full quarters underneath us and have a very optimistic view of the second half of the year, we really feel that we are trying to look forward on this. And so while it's little disappointing for us to say it's going to be flat sales for '17, we also think that people should look at what the second half looks like when you say that. And our sequential growth from quarter one to quarter two is what we would expect in quarter three and quarter four. And then secondly, part of our optimism for the second half of the year is that as previously mentioned, we just even since our last call, the activity level for large potential project not just the automotive that has been very good us but in other verticals for us and some prior customers that we are starting to do business again with and it's large amounts that -- we are seeing that size heat up. We also just think the marketplace seems to be continuing to embrace LED and understanding the value of it and the energy savings and the technology they can tie into it. So all of those things seem to be -- are giving us some additional optimism about the second half of the year.
Amit Dayal: Understood. And in terms of your mid to sort of long-term expectations from contributions on the agency side, we came in at around 24% this quarter. Do you have a target in mind of where you think the agents should be coming in as a part of the revenue mix?
Mike Altschaefl: We really haven't at this point had just a specific mix between the two. And one of the reasons is that it's not always completely black and white whether some business is coming through the agency channel or whether it might be something that we were working on directly. And then, we worked with the agencies in those territories to help them through in those sales efforts. And so it's not as a clear cut line between those two as we have. But overall, we really want to keep growing both sides of it and try and have keep faith. So maybe we say it's going to be 50:50, but we want both sides of those to grow. And we really expect both sides to grow. Both the national account business as well as the agent side of the business.
Amit Dayal: Understood. On the automotive client front, these two customers looks like they are really anchoring some of the revenues for you guys. What in terms of additional deployment opportunities with these guys remains? I mean do you have some sort of an estimate on what the potential opportunity with these two customers is and how of it you may have sort of already deployed?
Mike Altschaefl: Sure. Well, again we are commenting that we believe we will have 30 million from just these two automotive customers. This year we expect at least 10 million in 2018 -- I am sorry, 2019 from these two customers. There is still room to go with those two customers of additional facilities that they may work with us with our product. And -- but we have not put a number around that that we are presenting at this point in time. We also have opportunities developing with other automotive customers that we think will fit in the rest of this year and into '19 also. So I would say we're not suggesting that we think our automotive business is going to be $10 million in 2019 or likely be larger than that but we're not quite at a point where we can predict what that might be.
Operator: [Operator Instructions] Our next question comes from George Gaspar. You may proceed.
George Gaspar: Yes, good morning to everyone. Just a follow up on the research and development side, moving forward from what you accomplished, can you talk a little bit about what you're going to try to do in the near term to continue to enhance on the R&D side for your offering in marketplace if anything new and different that you're going to try to accomplish broaden your market?
Mike Altschaefl: Sure. Good morning, George. Yes I mean a few comments first as we've commented previously we continue to make what we think are the necessary and resources available for our product and development area and research and development areas and we launched some products in August in about 12 different product families, we had additionally add-on launches in October and November and we continue to have a pipeline of products that we review and continue to work on. I think going forward, I would say it's going to be a combination of things across all of our fronts, we are certainly very well known for our high bay product and our industry leading fixtures that we have produced in that area but we haven't stopped in that front, we continue to research how we can push that far even higher to stay ahead of our competition, we're at 214 lumens per watt and we're not stopping this will continue on that very high end product and we also have a suite of products related to what we would call entry level, little more cost conscious customers, some of the contractor type business of tens of flow through distributors and the agent channels. So we try to keep it as broad as we can and then lastly George I would say we talked in the past of our controls and IoT and sensors and we are accompany that 10 plus years ago we were probably ahead of the pack of research in that area, developing sensors related to that area. And so we still fall back in some of that IP that we have and are working to continued to upgrade those things to keep them into our products. Our approach on this has been in my opinion talking with others and watching the market the whole controls area and IoT is developing but its developing small and our approach is to be agnostic related to it. From a specific supplier, and so we make our fixtures and our controls that we can interact with the various other technologies that are out in the marketplace and that way our customer has choices if they take a system for their facilities we can integrated into our fixtures to capture the data's that you need. We will continue to invest in that area because it will continue to evolve but it is evolving a little bit slowly in the marketplace.
George Gaspar: Okay, all right and then one question on going the charges that you still looking at going forward and trying to get to your object by soon by the end of the current fiscal year March next year. What we looking at in both charges that could still hit the financial statements in the next couple quarters.
Mike Altschaefl: George cost are basically all behind us so as we say that it's not going to may be its going to be another 100,000 give or take but those that happens mostly in the first quarter so I'm in the second I think that's behind us we're ready to read the that the benefits of that in the next couple quarters.
Operator: Thanks. This concludes our Q&A portion of today's call. I would now like to turn the call back to Mr. Mike Altschaefl further remarks.
Mike Altschaefl: Thank you, Operator. Yes. Thank you. I would like to thank everyone for joining us on today's call. We appreciate the opportunity to update everyone. Look forward to talking with you in a few months after our next quarter. We continued to feel confident about things as we move forward appreciate everyone's support and with that everyone have a good day. Thank you.
Operator: Ladies and gentlemen, this now concludes our conference call. You may all disconnect. Everyone have a great day.